Executives: James C. Lucas - Vice President of Investor Relations Randall J. Hogan - Chairman, Chief Executive Officer and Member of International Committee John L. Stauch - Chief Financial Officer and Executive Vice President
Analysts: Charles Stephen Tusa - JP Morgan Chase & Co, Research Division Deane M. Dray - Citigroup Inc, Research Division Michael Halloran - Robert W. Baird & Co. Incorporated, Research Division Steven E. Winoker - Sanford C. Bernstein & Co., LLC., Research Division Jeffrey D. Hammond - KeyBanc Capital Markets Inc., Research Division Brian Konigsberg - Vertical Research Partners, LLC Joshua C. Pokrzywinski - MKM Partners LLC, Research Division R. Scott Graham - Jefferies LLC, Research Division David L. Rose - Wedbush Securities Inc., Research Division Christopher Glynn - Oppenheimer & Co. Inc., Research Division Brian Drab - William Blair & Company L.L.C., Research Division Garik S. Shmois - Longbow Research LLC Hamzah Mazari - Crédit Suisse AG, Research Division
Operator: Good morning. My name is Michelle, and I will be your conference operator today. At this time, I would like to welcome everyone to the Pentair Q3 2013 Earnings Conference Call. [Operator Instructions] I would now like to turn the call over to Mr. Jim Lucas. Please go ahead, sir.
James C. Lucas: Thanks, Michelle, and welcome to Pentair's Third Quarter 2013 Earnings Conference Call. We're glad you could join us. I'm Jim Lucas, Vice President of Investor Relations. With me today is Randy Hogan, our Chairman and Chief Executive Officer; and John Stauch, our Chief Financial Officer. On today's call, we will provide details on our third quarter 2013 performance, as well as our fourth quarter and full year 2013 outlook as outlined in this morning's release. Before we begin, let me remind you that any statements made about the company's anticipated financial results are forward-looking statements subject to future risks and uncertainties, such as the risks outlined in Pentair's most recent 10-K and 10-Q and today's release. Forward-looking statements included herein are made as of today, and the company undertakes no obligation to update publicly such statements to reflect subsequent events or circumstances. Actual results could differ materially from anticipated results. Today's webcast is accompanied by a presentation, which can be found in the Investors section of Pentair's website. We will reference these slides throughout our prepared remarks. All references today will be on an adjusted basis, unless otherwise indicated, for which the non-GAAP financials are reconciled in the Appendix of the presentation. We will be sure to reserve time for questions and answers after our prepared remarks. In recognition that there are other calls this morning, we will target to be done in an hour. [Operator Instructions] I will now turn the call over to Randy.
Randall J. Hogan: Thanks, Jim, and good morning, everyone. It was on this call 1 year ago that we talked about a successful day 1 following our merger with Tyco's Flow Control business. Today, we can look back at a very successful year 1. The integration is ahead of schedule, and we again have seen synergies exceed our plan in the quarter and for the full year. Culturally, the 2 organizations are coming together as one Pentair. While there's still more to be done, we're pleased with our progress in this first year. We have clearly demonstrated the power of the Pentair Integrated Management System and delivering on the integration. Now we look forward to delivering year 2 as a new Pentair. Let me turn to our third quarter performance on Slide 3. Before I go through the results in detail, as has been our practice since the Flow Control merger, I want to note that we again will be discussing our operating results on an adjusted basis to better address the core operating performance of our businesses and referring to 2012 on a pro forma-adjusted basis to provide a more accurate apples-to-apples comparison that includes Flow Control in the results. With that, here are the numbers. The third quarter met our expectations on the bottom line as margins expanded 210 basis points to 13.6%. Price and productivity more than offset inflation. Mix was positive, and synergies read out better than expected. Our adjusted EPS grew 25% even though sales declined 1% organically. For the quarter, sales were $50 million below our expectations due primarily to weak results in Australia that were not only related to the local economy, but also suffered a significant FX headwind. While we were not pleased with the top line performance, we continue to see growth in many of our more profitable businesses, including stabilization in the North American electrical distribution channel. Residential continues to be a bright spot for us. Food & Beverage remains very strong, and encouragingly, we saw modest growth in Western Europe for the second consecutive quarter. We continue to build momentum on the elements within our control. And because of our strong PIMS execution, we're targeting double-digit EPS growth for the year. Now let's turn to Slide 4 for a performance review of our largest segment, Water & Fluid Solutions. Water & Fluid Solutions sales were up 1%, but improved 9% excluding the negative impact of the sharp decline that our Australian Water business experienced in the quarter. Sales in the Residential & Commercial vertical, which represent roughly 45% of the segment, grew 12% in the quarter as the North American residential recovery continued, and we saw growth in commercial channels. We again had double-digit sales gains in our Aquatics systems business while our Filtration & Process and Flow Technologies businesses also grew well. Europe showed a modest improvement in the quarter, and while we are not expecting a rapid rebound, we're at least seeing signs of stabilization at last. Our Infrastructure vertical, which accounts for nearly 20% of Water & Fluid Solutions sales, showed a sharp overall decline as Australian projects paused in 2013. In North America, we saw a strong double-digit growth as the break and fix pump business continues to improve. We also saw strong global Infrastructure pumps sales as a result of growth synergies generated by our global sales force selling the full range of Pentair products. While the global municipal markets remain challenged, we believe our sales growth is proof that our sales efforts and scale are yielding results. Global desalination opportunities are at a low level, not seen in over a decade. And while project activity remains very low, our win rate remain high as we secured 2 more significant orders in the quarter. Our Food & Beverage vertical, which accounts for roughly 1/5 of Water & Fluid Solutions sales, grew revenue 20% in the quarter. We saw double-digit sales gains in both beverage and Foodservice while agriculture sales continued to grow at a high single-digit rate, showing some moderation after strong growth the last couple of years. The right half of the page shows third quarter Water & Fluid Solutions operating profits and margins for the quarter. Water & Fluid Solutions adjusted operating margins improved 280 basis points to 13.4% as the benefits of productivity and price drove the expansion. Although our Australian Water business saw a sharp top line decline, the team there responded aggressively by rightsizing their cost structure and achieving margins that were flat. In addition, we made good progress with our recent repositioning actions. In summary, Water & Fluid Solutions delivered another strong quarter, driven by our Residential and Food & Beverage verticals masked somewhat by the tough market in Australia. Now let's turn to Slide 5 for review of our Valves & Controls segment performance. The third quarter performance in Valves & Controls again demonstrated the power of PIMS adoption. Lean implementation continues to go better than we planned, driving productivity and improvements in on-time delivery rates for the business. We made good progress in Valves & Controls reorganization efforts, and our clear focus on service has produced some early wins. In addition, we continue to be more disciplined in large projects as the margin and backlog continues to improve. Valves & Controls sales declined 1% in the quarter. It would have been up 1% if Australia were excluded. Oil & gas sales were flat in the quarter as we have seen many downstream customers defer annual maintenance shutdowns due to high activity. Mining sales were up 2% in the quarter as we continue to shift on a project in the Middle East. Power sales declined 10% as Europe remains weak and projects in China and India continue to be pushed out. Industrial grew 5% driven by MRO activities increases and growing investment by North American chemical customers. Many companies are taking advantage of lower input prices and adding U.S. capacity for the first time in quite a while. We will discuss orders and backlogs in further detail in just a moment. The right half of the page shows third quarter Valves & Controls operating profits and margins. Operating margins were up 190 basis points to 13.1%, owing to productivity improvements. We saw accelerated adoption of Lean enterprise, and synergies also contributed to the margin expansion. Additionally, more disciplined pricing helped margin expansion. Our focus on service and MRO has also helped drive margin improvements with mild single-digit growth across all key verticals. In summary, Valves & Controls faced a tough year-over-year comparison, but still delivered robust margin expansion. Now let's move to Slide 6 for a look at the orders and backlog for Valves & Controls. As you can see on Slide 6, the Valves & Controls backlog is broken down in 4 key industries, 3 of which fall into our Energy vertical, oil & gas, power and mining; and 1 in our Industrial vertical, which is the process business. Backlog was essentially flat overall and remained at a near-record level of $1.4 billion. Process saw a modest decline in its backlog, and orders remained weak due to tougher comps in Asia. We continue to see North American chemical activity as many manufacturers take advantage of lower natural gas prices. Within oil & gas, backlog remains strong globally and orders were down year-over-year as large projects activity continued to be delayed. We believe this seems to be more of a timing issue as quoting activity remained healthy. In addition, we have seen many refining customers defer annual maintenance as they are not shutting down and continue to run near full capacity. The power business saw a slight increase in order as activity in China picked up. Third quarter orders in mining decreased as expected, and we expect this small piece of our Valves & Controls business to continue to be weak. Now let's move to Slide 7 for a review of Technical Solutions. Sales for Technical Solutions declined 8% as our Thermal business not only faced a tough comparison due to a large project a year ago, but continued delays in Canadian project awards and slower European industrial sales accounted for the majority of the decline in the segment. Equipment Protection posted modest sales growth in the quarter as North American Industrial stabilized and we experienced growth in European electronic sales. Although Thermal experienced a sharp top line decline in the quarter, orders and backlog grew, reflecting our entering the seasonally strongest periods of the business. The right half of the page shows third quarter Technical Solutions operating profits and margins. Technical Solutions operating margins increased 240 basis points to 20.6% on positive combinations from price, productivity and mix. In addition, the adoption of PIMS within Thermal has continued to gain momentum, and Equipment Protection experienced strong contribution margins with the improvement seen in Europe during the quarter, as well as strong productivity overall. Let's now turn to Slide 8 for a closer look at growth year-to-date. Given the top line challenges that persist and slow economic recovery, we thought it would be helpful to provide an update on the trends we see in our key geographies in our 5 key verticals. In North America, U.S. has benefited from the continued improvement in residential, and we've also seen improvements in our Infrastructure break and fix business. Canada has been slower with a number of delayed projects in energy. We have not seen many cancellations. Western Europe is finally showing signs of stabilizing as many of our businesses that experienced a downturn early in the cycle are starting to see some volume growth. The last business to see the downturn, Thermal, is starting to see activity pick up as tougher comparisons begin to anniversary. Residential in Europe seems to be stabilizing, and we saw growth in commercial during the quarter. In addition, the European Equipment Protection business has returned to modest growth. Fast-growth regions remain mixed, but China's declines appear to be slowing and we continue to see growth in Africa, Southeast Asia and the Middle East. We talked in the past about opportunities that we see in the Middle East and we wanted to highlight a recent growth synergy. Earlier this year, we invested to localize our commercial pump line in the Middle East, utilizing the Valves & Controls plant in Sharjah. After only a few months, we are already booking orders and delivering pumps to serve buildings and other commercial applications there. We think these new regional product lines could add $25 million to $50 million in incremental sales over the next 5 years. So it's encouraging that we're off and running. Looking at our 5 verticals, we now expect Energy to be flat for the year compared to our prior forecast of modest growth. When looking at our backlogs and timing of shipments for the fourth quarter, we expect to see growth sequentially. We continue to expect Industrial to be down modestly for the year, but the stabilization we began to see later in the quarter -- second quarter has continued in line with our expectations. Further, the process backlog in Valves & Controls is expected to continue to improve based on the strong quoting activity we're seeing in North America. Residential & Commercial has been a bright spot all year, led by North American residential. While commercial is smaller contribution for us, we're seeing signs of improvement in both North America and Europe. European residential has also stabilized at long last, which means it is at least no longer getting worse as we wait for signs of further improvement. Our outlook for Infrastructure is now lower given the ongoing headwinds we expect in Australia, but we continue to expect a solid performance in North America. While the outlook for global desalination opportunities remain weak, we won a couple of jobs recently and our shift in investment from municipal to industrial are starting to pay dividends. Finally, Food & Beverage remains a great story. We're seeing strong gains in all 3 of our focus areas in the space. Beverage has been a great story all year, driven by our Beer Membrane Filtration growth, and our backlog remains strong. Foodservice is well positioned with key customers that are expanding globally. Agriculture again posted near double-digit gains, driven by demand in both irrigation and crop spray. We expect the growth rate to moderate, but for growth to continue in the fourth quarter. Let's now turn to Slide 9 for a year-to-date assessment and full year outlook. Our results through the first 9 months of 2013 met expectations as we've been able to over-deliver on synergies, productivity and price, which have offset some of the top line challenges we faced. We expect Australia to remain a headwind, but we continue to see solid backlogs in our longer-cycle businesses elsewhere. Europe is no longer a negative and we are experiencing growth in our more profitable businesses while driving standardization across the company GBUs. We continue to execute on the elements within our control and we expect operating margins to expand in excess of 150 basis points, putting us on track to deliver strong double-digit adjusted EPS growth. We've completed $875 million of our $1.2 billion authorized share repurchase program. And we expect our free cash flow to be greater than 100% net income conversion for the year. With that, I'll turn the call over to John.
John L. Stauch: Thank you, Randy. Please turn to Slide #10, titled Q4 2013 Pentair Outlook. As we close out the year, we're anticipating revenue and operating income for overall Pentair to be about the same in Q4 as it was in Q3. We are forecasting overall revenue to be about $1.8 billion, down slightly from Q3 and up 3% to 4% from Q4 of 2012. Water & Fluid Solutions revenue is expected to be up 2% to 4%, reflecting continued Australian headwinds in our Water transmission business, no improvement in the Australian dollar and continued strong performance in our Residential and Food & Beverage verticals. The shift in the fiscal year end had a negative impact in Q3 for Valves & Controls, but we believe it will help Q4 with expected sales growth of greater than 6% versus Q4 of 2012. Overall for Valves & Controls, we expect the seasonality of the quarterly revenue and income that we have delivered and are forecasting in 2013 to be the new pattern for their performance. Finally, we expect that Technical Solutions will deliver their first year-over-year growth quarter of 2013 as industrial headwinds are now lapped and year-over-year large project comparisons in our Thermal Management business are behind us. We are expecting strong adjusted operating income performance of around $242 million, down slightly from Q3 and up sharply from Q4 of 2012. We do want to remind you that last year's results included $20 million of transition costs associated with the merger with Flow Control. We believe operating income will expand over 45%; and operating margins are expected to be 13.4%, up 390 basis points, with strong contribution from all 3 reporting segments. You may have noticed in Q3 and in Q4 corporate costs are lower. This reflects our final knowledge of incremental costs that, as of Q3, are now being allocated into the appropriate reporting segment. The reported corp cost of approximately $25 million now reflect the appropriate ongoing corporate expectation. And finally, cash is important, and we expect to close out the year on a strong note and deliver the expected roughly $650 million of free cash flow for the year. Please turn to Slide #11 labeled Integration & Standardization Update. This slide has become standard work and it briefly brings you up to speed on our synergies by quarter and our forecasted synergies for the full year. Of particular note is that we are now anticipating realized synergies in 2013 to be about $120 million, reflecting the overdrive in Q3 and the expected uptick in Q4. The increase of our previous estimates is being driven by sourcing and Lean savings in Flow Control and is a result of building momentum around our proven PIMS operating system. This is obviously great news as we are now exiting the year on $168 million annual run rate or nearly 73% of our $230 million synergy target. What makes this performance even more impressive is that it does not yet take into consideration the significant synergies we still anticipate from Lean enterprise and our goal of reducing overall G&A from the current 8% of sales to the expected 6% of sales by 2015. All of those programs are still in investment mode, and we believe we will start to realize savings in 2014 and 2015. Please turn to Slide 12 labeled Balance Sheet and Cash Flow. We had a very nice quarter as free cash flow was $206 million for the quarter, driven by over $173 million in net income and more disciplined working capital and capital spending policies. We still have substantial room for further improvement in our cash metrics in the legacy Flow Control businesses, and we are rolling out our receivable and payable policies and processes as well as directing many Lean projects towards targeting inventory reduction. Ending debt was under $2.6 billion while we delivered over $100 million of cash in the quarter back to share owners in the form of dividends and share repurchases. We have completed $875 million of our approved $1.2 billion in buybacks through the third quarter. Please turn to my final slide, Slide #13, labeled Full Year 2013 Pentair Outlook. For the full year, we are expecting $7.4 billion in revenue, up 1% to 2% organically year-over-year, reflecting near record bottom levels of projects in Australia, Canadian oil sands and EMEA, as well as the absorption of a global industrialization slowdown in slow, large greenfield sites globally, thus, giving us confidence in the prospects for accelerating organic growth into our 2014 and 2015 planning horizon. Overall operating income is expected to improve by nearly 20% versus 2012. And overall adjusted EPS at the $3.20 midpoint range will be up over 25% versus 2012. So one year into our merger with Flow Control, we feel like we have learned many things about the new businesses, introduced with speed our PIMS way of doing things and have seen 2 companies come together as a seamless one Pentair culture and we have a clear and achievable path to achieve our $5 of EPS target by 2015. With that, I will turn it back over to Randy who will summarize, and then we will open it up to questions.
Randall J. Hogan: Thanks, John. Please turn to Slide 14 labeled Summary. In closing, we delivered on our commitments year-to-date, and we remain well positioned to meet our 2013 full year goals. The top line has been a challenge this year with delays in large projects and a greater-than-anticipated headwind from Australia. But on the brighter side, mix remains favorable, and we continue to see growth in Residential and Food & Beverage where we do control our destiny. Our integration and standardization efforts continue to build momentum, and we now expect $120 million in synergies in 2013 versus our original target of $90 million for the year. We're pleased with the success of the integration so far. We realize that there is still a lot of work to be done, but the adoption of PIMS within the Flow Control businesses continues to exceed our expectation and we are adopting one Pentair culture. Finally, I'd like to thank Mike Schrock for being a great partner the past 15 years. Mike and I started at Pentair a week apart and he's been a great contributor to building our operating agenda and our transformation from a holding company to an operating company. With that, I'll ask the operator to open it up for questions.
Operator: [Operator Instructions] Your first question comes from Steve Tusa from JPMorgan.
Charles Stephen Tusa - JP Morgan Chase & Co, Research Division: So I just want to talk about these projects. I mean, you guys have said several times that you're kind of contemplating limited large project activity. And how much visibility do you have on these things quarter-to-quarter? I mean, clearly, Australia has been weak for a lot of companies and maybe that was something that could have been contemplated on the second quarter guide. And then I guess for the fourth quarter, some of the stuff you're accelerating on your core for the fourth quarter, maybe you could just comment on why your visibility is any different. Are there projects that slipped into October that have already been booked? I mean, maybe just give us a little more comfort around why we won't repeat this issue in the fourth quarter that we did in the third on the revenue front. And then I have one other follow-up.
John L. Stauch: Yes, Steve, good question. And we'll tag team here, Randy and I. I think, when you take a look at Q3 versus forecast, in summary, we missed about $50 million in Australia. Half of that was actually currency, which we did not see coming, and 1/2 of that was roughly book and ship business that was expected in the quarter and now we don't expect that even in Q4. And we're anticipating that Australia becomes flat to the current levels in Q3 well into 2014, given the conditions there on mining and given the overall state of the economy. In Thermal, you notice the miss. On a year-over-year basis, it was large projects. We shipped a big Voyageur contract last year. We were not anticipating large projects in the quarter. It was actually Europe where they were the last to head into the decline mode. We have record backlogs in Europe and the projects started to -- or the ship dates on those book and ship businesses started to slip throughout Q3 into Q4. We've only put part of that into our forecast for Q4 and the rest of the uptick reflects what we think is the new normal seasonality coming out of Q3, which was the old fiscal year end for Tyco Flow and now reflecting the new year-end fiscal year end. And so a lot of these projects that would have been rushed to completion, if you will, in September on the order side, we now think have their normal completion in the Q4 timeframe. Randy, I don't know if you want...
Randall J. Hogan: Yes, the only thing I'd add, Steve, I'm much more focused on the bottom line than the top line, but we always focus -- we, obviously, want to get better at forecasting the top line. One of the things that John has it right, one of the things that we didn't know going into the third quarter was how much the shift from the third quarter closeout of the year to the fourth quarter closeout of the year would affect the behavior in the Flow Control businesses. And I think we saw some, I would call less aggressive closing of orders. John talked about sales. But in terms of orders, I think there was less aggressive closing out of orders in the quarter that we are, in fact, seeing close in the fourth quarter. So I think it was a learning quarter for us.
Charles Stephen Tusa - JP Morgan Chase & Co, Research Division: Okay. So x ForEx, you guys think you have -- the chances of us sitting here in January and you guys talking about another revenue slip, you're highly confident in that?
John L. Stauch: Well, Steve, yes. I mean, 2 things. I mean, first of all, you know Randy and I both work around large-project backlog businesses, you should not miss large project forecasts. And so I want clarify that's not where we missed it because you have your backlog, you have your shippable backlog. And even if you expect a little bit of slippage, you put that into your estimates. This is knowledge about, I think, the fiscal year end the seasonality of these businesses. And overall, I think we were able to manage through it effectively. And if you look at the year's forecast, as a matter of fact, what we've done, we've had some strong quarters of growth and we've had lesser quarters of growth. And I think that reflects more of the choppy seasonality last year within the Flow Control businesses than it does a normalized seasonal pattern that you're seeing start to form here throughout 2013.
Charles Stephen Tusa - JP Morgan Chase & Co, Research Division: Right. Okay, that's totally fair. Just one last question on the productivity side. If I take your synergies and then I add up all the productivity and synergies that you reported for the quarters, productivity looked pretty strong at, like, $25 million. It was a pretty good quarter. Anything unusual? And I guess, the bridge, I would characterize it as kind of like productivity and cost saves x synergies. Anything unusual this quarter? Or you guys seem like you're getting really good base productivity out of the business.
John L. Stauch: Nothing unusual. I mean, one of our goals when we closed the merger was to make sure we're focusing on margin and backlog, especially in the Valves & Controls businesses. We've been very disciplined on the types of orders and types of jobs we're winning and I think that's starting to show in the margin expansion in that business. So I think it's not just about growing, it's about growing profitably. And I think you're seeing the effect of that.
Operator: Your next question comes from Deane Dray from Citi Research.
Deane M. Dray - Citigroup Inc, Research Division: On the fast-growth markets being down 8%, this is now the second quarter and likely some of this is still related to China, but if you could just separate out what the pressure is in terms of is it Food and Beverage, is it Infrastructure? How would you characterize the pressures there?
John L. Stauch: Yes, just a clarification. I mean, overall, fast-growth was up around 2% in the quarter, still not a great number. But overall for Pentair, it was plus 2. We did see clearly in Water & Fluid, we were down 8% and most of that really was India. And so I think, overall, we're seeing still strength in China in our product platform there. We're up 23% in the quarter in China. And where we were down in Water & Fluid, it was primarily India and a little bit of Middle East. And as Randy mentioned, I mean, there hasn't been a lot of desal programs going on in that region.
Randall J. Hogan: Yes, and it really is -- it's what we call the advance of water. It's the desal projects, it's the big wastewater projects that have been the net drag in fast-growth markets. Actually, beverage -- Food & Beverage has done very well.
Deane M. Dray - Citigroup Inc, Research Division: And then on the increase in synergies, I might have missed this, but what was driving that additional $15 million in savings? And then is there more in the tank on this? Are there additional projects you can be doing? Is the $120 million to be a stretch? And do you have line of sight on all those projects?
John L. Stauch: Yes, Deane. I think the upside was clearly sourcing and Lean, which I mentioned in my comments. And I think we always knew we were going to get that. I mean, we have a great Lean and sourcing culture here. I think the upside coming forward will be the Lean enterprise, which is all the back office structures that we think we can get more synergies through. And we've been planning for that all this year. We didn't expect any of that to hit in 2013 and we're set up nicely now for 2014 and for savings related to those projects. So we feel really good about where we are in the synergy road map.
Randall J. Hogan: Yes, I'd just echo that and mention that the Lean is off to a great start. It's helping -- it's really helping delivery right now. But it takes a little while for Lean to hit productivity and the sourcing. The sourcing productivity has been really outstanding. And we think the funnel still looks good there for more.
Deane M. Dray - Citigroup Inc, Research Division: Great. Just last question for me is the -- we're all trying to gauge and calibrate the seasonality in the new combined business. And it looks like it'll be some -- a little bit challenging here for the fourth quarter just in terms of identifying what's a seasonal trend versus some one-offs. So like making adjustments for Australia here. Yes, Tech Solutions got a little bit easier comps. But how would you frame the seasonal impact that is something that we would now be seeing on a go-forward basis?
John L. Stauch: Deane, I think no one is working harder on that than us. And I think we feel more knowledgeable today than we did a year ago. I mean, clearly, as I mentioned, if you looked at Flow Control's results last year, they were bouncing around a little bit. I think we feel very good about the seasonality being delivered in 2013 in the normal execution. And to your point, Thermal, which is -- likes cold weather is going to have a stronger Q4 in that its normal shipping pattern because of shipping ahead of the cold weather, the anticipated cold weather. So that's the only real seasonal business other than Australia, which will have a stronger Q2 historically.
Deane M. Dray - Citigroup Inc, Research Division: Great. And then congratulations to Mike. He's had a great run.
John L. Stauch: Yes, absolutely.
Operator: Your next question comes from Mike Halloran from Robert W. Baird.
Michael Halloran - Robert W. Baird & Co. Incorporated, Research Division: So on the Valves side of the business, when you think about the order activity, backlog has been stable. Tough order quarter here. But it sounds like the quoting side of the Energy products and projects, in particular, still remains strong. So a couple of things there, one, maybe you could just talk about what the customers are saying today? What's driving some of the delays in getting the quoting through beyond just the timing with the calendar? And then what do you think the catalyst here is to start seeing a little bit more consistent order strength because not only you, but all your peer group, has been talking about strong order environment, or at least quoting environment, for a few quarters here but just haven't really got them to the finish line. So any color there would be great.
Randall J. Hogan: Yes, I would just say when we look and we talk to customers about their capital plans, which, obviously, the thing that drive the large projects, even the medium-sized projects for the oil & gas industry, the capital plans remain solid. And I would say not down, not up. Maybe slightly up, but not greatly up. And what they're doing is they're looking to save costs. For us, we're a valve supplier to large projects. So the valves are not a big part of those projects and there seems to be more intense conversations between the end customer and the E&P players who control the projects overall. So the activities are, I think, about trying to be more cost effective on the implementation of these projects. That's my read of it -- that's our read of it, not just mine but our team's read of it. But these projects are going to go forward. So a number of projects we saw in the Middle East, a number of projects we've seen in the power industry, they've sort of slipped into the right, which is a term I hate. But it's what we're seeing right now but not outright canceling, with the exception of a couple of really large projects that everyone knows have been canceled up in Canada that have been canceled before. We haven't seen any other cancellations.
Michael Halloran - Robert W. Baird & Co. Incorporated, Research Division: That makes sense. And then on the Residential side of the business, obviously very strong trends this quarter, healthy expectations for the fourth quarter. Any signs of cracks there or at least the incremental slowing in the residential end markets you deal with in North America?
John L. Stauch: I would just say, Mike, and I'll have Randy make some comment, we like the trend there. I mean, we were -- this high single-digit type of growth pace that we're on is a good place for us to do well and then to make money in. And I think, we would have been more concerned if we would have saw the huge spikes and the overbuying of the houses or the over-delivery of the housing permits. I mean, I think, we still feel we're in a healthy environment. Obviously, 6 years of decline now coming back relatively strong and our pace of activity is flowing through as we would expect it, pool with the high-end consumer and there we've had strength because of our energy content. Also, we haven't seen a huge impact in Residential Flow, as you know. That's more of a weather dependent, not a new housing start. But we're starting to see in the quarter, finally, the water filtration plays and the growth in that space.
Randall J. Hogan: Right. And particularly in Europe, I mean, where it has lagged. But with residential returning to a more stable environment in Europe, that bodes well for us further because that's an important market for us in the Residential Filtration business.
Operator: Your next question comes from Steven Winoker from Sanford Bernstein.
Steven E. Winoker - Sanford C. Bernstein & Co., LLC., Research Division: Just first one, check my math. On the price versus productivity side, I count $78 million listed for productivity/price and op income and roughly about $14 million on price on the sale side, which most of which drops through. So is your productivity-only number's closer to $60 million or $65 million?
John L. Stauch: Sorry, say that again, Steve?
Steven E. Winoker - Sanford C. Bernstein & Co., LLC., Research Division: I'm just -- what's your productivity-only operating income number, net of price?
John L. Stauch: Yes, it's about -- just about $55 million excluding -- well, $57 million excluding inflation.
Steven E. Winoker - Sanford C. Bernstein & Co., LLC., Research Division: Okay. But include just that productivity/price in op income that you've got...
John L. Stauch: It's about $70 million.
Steven E. Winoker - Sanford C. Bernstein & Co., LLC., Research Division: $70 million, okay. And then on the -- on page -- on the Water & Fluid walk, you talked about $20 million of volume and sales, but 0 impact on the op income side from growth. What's going on there?
John L. Stauch: Well, that is net -- yes, it's the net impact of volume and foreign exchange and we dropped that through in op margin in that walk. And then the leverage of that or the lack of leverage comes in the productivity side of the equation.
Steven E. Winoker - Sanford C. Bernstein & Co., LLC., Research Division: Okay, great. And then, finally, just on the top line integration impact, you talked about the Middle East commercial pump line and getting the $25 million to $50 million of sales over 5 years and all that, but how do you know -- to what extent are you confident that all of these massive integration activities happening across the portfolio did not have a negative impact on your sales for this quarter?
Randall J. Hogan: Well, that's certainly something we talk to all our presidents about and the businesses and there is a lot of focus on cost structure. But we've been very selective in terms of hitting cost structure on the go-to-market side. Most of the structure has been on what I would call the G&A side and then manufacturing side and -- but we certainly are aware of that risk. We've also been -- I mean, I do think that our focus on profitable growth probably has kept us from having as high a top line as we might have. But frankly, I don't want any more projects that don't make money. So if that's all we're losing, I'm okay with that.
Steven E. Winoker - Sanford C. Bernstein & Co., LLC., Research Division: Well, the word project selectivity is used by some of your colleagues and the former -- the other Tyco. I mean, is that -- are you going through a pretty significant change in comp and other things for the sales force to impact that -- there's more profitable projects or...
Randall J. Hogan: Well, we have. We've got clear focus on that margin. The Valves & Controls business was reorganized into -- from an end-market focus, which was really focused on market share and there were measures on market share and in growing in each of the verticals. And now, we're focused on product line profitability and functional excellence. And so I do believe that, that change has been beneficial in terms of making sure that we are taking profitable projects. I can't comment on what the rest of Tyco is doing.
John L. Stauch: We can measure the margin and backlog, though, Steve, and that's the measure if that backlog is a more profitable backlog than it is today.
Operator: Your next question comes from Jeff Hammond from KeyBanc Capital Markets.
Jeffrey D. Hammond - KeyBanc Capital Markets Inc., Research Division: Just to close the loop on Valves & Controls orders, can you give us kind of the blended order, order rate and what the comp was for 3Q?
John L. Stauch: Meaning the -- you mean the total orders?
Jeffrey D. Hammond - KeyBanc Capital Markets Inc., Research Division: Yes.
John L. Stauch: We got it by those 4 segments...
Jeffrey D. Hammond - KeyBanc Capital Markets Inc., Research Division: And while you're looking for that, I mean, I kind of blended, come up with down kind of high singles, low doubles. But I'm just trying to understand better because it seems like there's some fiscal year timing changes, some focus on profitability. What's really just kind of timing here in the order or maybe a tough comp versus your real fundamental weakness -- weakening in the business?
Randall J. Hogan: Let me talk about while John's looking it up, let me talk about just in general. The Flow Control businesses used to close out their fiscal year at the end of September, if you recall, that we moved to fourth quarter after taking over a year ago. If you recall, all those businesses had weak fourth quarters and they had spectacularly strong third quarters. And so this is our first time through that change and we'll see -- we'll see -- we expect that there was some orders that would have been booked maybe in -- with a different fiscal year in the third quarter that will get booked in the fourth quarter.
John L. Stauch: Yes, I mean, the actual, if you add it all up, you should be somewhere around $562 million to $565 million, Jeff, in total orders. And clearly...
Jeffrey D. Hammond - KeyBanc Capital Markets Inc., Research Division: And what was it last year?
John L. Stauch: Last year would have been, on the same basis, $636 million.
Jeffrey D. Hammond - KeyBanc Capital Markets Inc., Research Division: Okay. And then...
John L. Stauch: As Randy reflected, they sequentially, from Q3 to Q4, dropped significantly well below $575 million in orders in Q4, reflecting a peak in Q3 and then a big drop in Q4. We're now expecting a more normalized pattern between Q3 and Q4 with a little uptick in Q4 versus Q3. So I think this is about the seasonality of the year end more than it is about an indication of what's going on in industry trends.
Jeffrey D. Hammond - KeyBanc Capital Markets Inc., Research Division: Okay. And then just shifting gears to Aquatics and Food & Beverage, you guys have had just great growth there. And it sounds like quoting's pretty good in Food & Beverage, but to what extent do we start to worry about tough compares there?
Randall J. Hogan: Well, we haven't given 2014 guidance yet. But when we look at Aquatics and Food & Beverage in particular, with the exception of agriculture, which has had some benefits in the U.S. with some tax treatments and they're going to expire at the end of the year, which I think is going to slow down irrigation and maybe crop spray. With the Foodservice -- in Foodservice right now, we have a lot of momentum and globally we've had a lot of momentum. And then Food & Beverage, we have a great backlog in the beverage and dairy business. So I feel good about that. In terms of Aquatics, Aquatics, as you know, has controlled their own destiny for some time. And now on top of that, they've got growth in the end markets. I mean, they were growing for 3 years while the market was declining, and now on top of that, the market's going up and they continue to innovate. So I have great confidence in Aquatics growth.
John L. Stauch: I think -- just a follow-on, I think as we take a look forward on the Food & Beverage side, I would think about 1/2 of the year growth rate this year is what we would be anticipating next year with, as Randy said, ag being the tougher comps next year and the Food & Beverage and Foodservice side continuing to go forward. Clearly in Aquatic, we're not going to continue that rate of growth as well but high single digits is certainly something that we feel is achievable over the next several years.
Operator: Your next question comes from Brian Konigsberg from Vertical Research.
Brian Konigsberg - Vertical Research Partners, LLC: I just wanted to touch about -- on the funnel. So you had mentioned again your finding more opportunities in all the different buckets that you're attacking. If you aggregated the last quarter's funnel, you're talking about $390 million. I'm sure you don't want to get in the habit of quantifying this, but I mean, has that increased meaningfully versus where you were at Q2, if you could give a little color there and maybe where it's coming from.
John L. Stauch: I think the way I would describe it is what I said in my script was -- in my comments was that we're clearly, as a company, sitting around 8% G&A and that's well higher than historically Pentair has ever been. 6% is our targeted G&A for 2015. If you take that 2-point times sales and you start adding that to the current synergies and assume that we'll continue to get sourcing and continue to get Lean rollout, we feel very good about our potential ability to continue to expand margins. We're cautious about providing the funnels because as we said, this is about productivity and synergies and we need both. And so we're really driving a rate of margin expansion through ensuring that we're getting from both sides of the Flow Control and legacy Pentair the right amount of margin expansion in gross margin and the operating expense leverage. So we're working both simultaneously and the only way we'd win is the bottom line. So we feel good about what pipeline we have.
Brian Konigsberg - Vertical Research Partners, LLC: Okay, fair enough. And just back to Valves & Controls orders, you had been talking about selectivity. I think last quarter, you talked about maybe 100 basis point improvement in margin and what's in your backlog versus kind of what you're reporting. Can you give us an update on kind of where that stands today?
John L. Stauch: That's still about accurate.
Brian Konigsberg - Vertical Research Partners, LLC: Okay. And then finally, also just on the process side of the business, so it sounds like U.S. still fairly solid with MRO work; China or Asia, a bit weak. But just more focusing on the U.S. side, so we've heard a couple of get ethane crackers get announced by some of the major chemical companies. I'm just curious, I'm sure you're going to be competing for those, when should we anticipate that order profile start to inflect higher for Pentair? I guess, question more is kind of where do you sit in the construction cycle and when do you start to see the benefits of these large projects getting off the ground?
Randall J. Hogan: Well, we have frame agreements with a lot of those customers already, so we have, if you will, we have a preferred or at least a right to bid on those. So we will work those with the customer if it gets spec-ed in immediately, even before they announce them usually. So you can bet we're working on them. They will award them typically after the EPC awards so...
Brian Konigsberg - Vertical Research Partners, LLC: Right. So a couple of EPCs have been awarded. I mean, are you talking about a couple of quarters after? Or is it a year later? And how do you intend on actually recognizing the revenues? Is that going to be a percentage of completion or would that...
Randall J. Hogan: Generally, on Valves, we recognize them when we ship them so -- but they'll ship in -- there's multiple valves, so they ship in multiple orders. And right now, we feel good about the process industry in general, in chemicals in general in North America and -- because of those kind of large but also a lot of smaller projects that are going in there. I can't comment specifically on when I expect those to -- would ship if we win them.
Brian Konigsberg - Vertical Research Partners, LLC: Is it safe to say orders from these couple of projects that have recently been announced would be a '14 event? Or is it later than that?
Randall J. Hogan: If I tell you it's '14, it'll probably be '15. If I tell you it was '15, it'll probably be '14. So I'm not going to give you a date.
John L. Stauch: And Brian, those are not -- those are -- I mean, a large order for us is going to be in the 10 million to 20 million of valves range and that's a large, large order. So I mean, we're talking about series of $2 million to $5 million orders here and those are all the types of things that continue to add confidence to the growing industrial process side.
Randall J. Hogan: It is right to focus on it though because -- I mean, we're focused on it because, I mean, when they're putting in ethylene crackers, they're making long-term bets on an industry and the market for those monomer streams. So they're -- they're there and there will be other investments to go along with it. I actually think it's a new day for chemicals in America.
Operator: Your next question comes from Josh Pokrzywinski from MKM Partners.
Joshua C. Pokrzywinski - MKM Partners LLC, Research Division: Just a question on Valves & Controls and I know that some of the comments you made at your Analyst Day last year we don't get a sense of the shape of the growth that you outlined. But to pick on that specifically, you have a 5% CAGR over the planning horizon, leaving kind of an 8% CAGR over the next 2 years. Do you think some of these project deferrals can lead to that acceleration in the growth? And if that fails to happen, do you feel like you have the synergy pipeline to overdrive on that? I guess, the way my math works, if it ends up being more like that 5% for the next 2 years, you're going to need another, call it, $30 million in EBIT. Clearly, you guys are finding upside there. I just -- help us calibrate kind of the growth versus synergy offset here with '13 coming in wider on the top line?
Randall J. Hogan: Let me talk about it within the whole arc of this merger. I mean, originally when we first looked at the forecast of the Flow Control outlook, it was pretty high. We took it down, on what you're asking, the 5%. And then you're asking is if the 5% isn't there, what can we do? And I would tell you that, clearly, the orders, themselves, have not been consistent with what we would have anticipated 15 months ago. But having spent a year with the business, the opportunities for productivity are even better than I thought. So my answer would be and then we'll see what John -- my answer would if the volume isn't there, I'm still committed to get to 5% and I think we know the way.
John L. Stauch: Yes, and then -- I obviously agree with Randy because he's really demanding. And I'd say when you look at Slide 6 and you look at our percentage of our overall revenue in backlog and -- it feels, as we were talking about earlier, that industrial process is starting to pick up and industrial has been flat throughout most of the year. And if you look at other people's order rates there, it's been improving. That's really the one we need to move forward into a mid-single digits to be able to contribute that higher single-digit growth rate. And we're feeling good about the activity there and we're feeling good how that's starting to unfold. As you could see, there's a lot of focus on mining. But for our mining business, it's less than 10% of our overall sales. So the downturn there -- or the upturn doesn't move the needle the way industrial process does.
Randall J. Hogan: Right.
Joshua C. Pokrzywinski - MKM Partners LLC, Research Division: I mean, you could see mid- to high single-digit growth in that process business without turning? That's order of magnitude consistent with what they're able to do historically?
John L. Stauch: Correct.
Joshua C. Pokrzywinski - MKM Partners LLC, Research Division: Okay. And then just one follow-up on the growth. Is it that these business need more investment -- I guess, stripping out the project timing things and these things happen especially in this macro environment, but do you feel like there's -- it's just more investment that's needed to get the growth? Is it a lack of opportunities for investments, so you guys are funding everything but there aren't enough ideas? Or are these businesses just more like grind it out than you originally anticipated? I guess, how do you...
Randall J. Hogan: One thing is we're not overreacting to the vagaries of the up and down. The standard deviation around orders is 10%, plus or minus, every quarter. So we're trying not to overreact to just the vagaries quarter-to-quarter. That said, we believe that we can do a better job of priority focus on growing the markets that are most -- growing in the markets that are most attractive. That may require us to fill in some product line gaps. We're not the strongest, for instance, upstream. We're not as strong upstream as we think we'd like to be, for example. But it's also to make sure that we're investing in the markets that are growing. We mentioned India was down. We need to be bigger in some of the markets. We want to be bigger in the Middle East. We want to be bigger in Africa. So it's both a geography focus and it's a product line priority. And that's what we're doing in the planning cycle now. We make sure that we're putting our best resources against those priority focuses.
Operator: Your next question comes from Scott Graham from Jefferies.
R. Scott Graham - Jefferies LLC, Research Division: Congrats to Mike Schrock. I just really only have one question. And you guys have done a great job in increasing the synergies for '13 all year. And you're now expecting a nice little ramp in sales growth for each of the 3 segments in the fourth quarter. I was just wondering, are any of the synergies actually going back into the company, being reinvested to try to drive and make sure that top line growth acceleration, you're spending any of that toward sales?
John L. Stauch: Yes, Scott. I mean, I think, as Randy mentioned, it was a key focus of ours not to attack or go after the sales and marketing and the growth-related resource as a percentage of sales. We've held the percentage of sales, and in most cases, increased them. And so the focus has been on the Lean, the operations and also the back office driving the synergies and making sure that we're continuing to invest it. But as Randy mentioned earlier, now we're spending a lot of time making sure the money is being spent in the appropriate areas that can actually drive the most profitable growth and that's a big part of the 2014 planning activity.
Randall J. Hogan: And we've talked about some examples. I mentioned the investment we've made to localize commercial pumps in the Middle East, leveraging the Sharjah factory. We've invested even more than that in the Middle East. We've talked before about the investments we made to cross-sell valves in the Food & Beverage business. So some of the wins we've invested in MRO and that's up 6%, 7% in the quarter. So we're seeing results from the investments we made and we've talked about them.
R. Scott Graham - Jefferies LLC, Research Division: So essentially, what I think I hear is that your -- the combination of the spending and easier comps, some of these timing issues we've talked about in a couple of businesses, you feel good about those fourth quarter sales expectations by segment?
Randall J. Hogan: I learned under a master to never be comfortable with the forecast. We're committed to the forecast.
R. Scott Graham - Jefferies LLC, Research Division: That's a good answer. I actually have a second question I just thought of and it's kind of a piggyback off the last question. If I recall correctly at the end of the Analyst Meeting last year, one of the things that I think you said very clearly, John, was that, hey, we don't have a crystal ball. We don't know what the top line looks like. It is our goal. We're committed to 5% growth. But if it doesn't happen, we're still confident in making the $5 number. I know you just kind of said the same thing, but it's just really a combination, not just of the synergies to get there, but you could also kind of pull the share buyback leverage to get there as well if you come a little short of that 5%, right?
John L. Stauch: Absolutely. And Scott, think what you're hearing from Randy and I today is we've had a year now to look at these businesses and understand what was in the core, what was in the base. You look at some of the projects that have come out in Australia, you look at some of the megas that were there in Thermal that are no longer there, primarily the Voyageur project, and we take a look at where we are in the base and the core growth rate in the base and it more than reflects what we want to on an ongoing basis. So we feel we're coming off of this base, knowing what's in there and the ability to grow organically, we feel very good with that and the cost structure to achieve our commitments.
Operator: Your next question comes from David Rose from Wedbush Securities.
David L. Rose - Wedbush Securities Inc., Research Division: A couple follow-up questions. In the guidance, I mean, you've had some divestitures in the first half of the year, are we thinking about potentially more rationalization of businesses? And I mean, I imagine they are small, but how should we think about that in terms of the guidance? Generally, that's not reflected in the guidance, but it should impact your top line, nevertheless, is that fair?
John L. Stauch: Yes, we're not reflecting any of that at the moment. And we would feel it would be our problem to absorb and deal with that as well.
David L. Rose - Wedbush Securities Inc., Research Division: Okay. So we can assume that if there are any divestitures, that won't be really be an excuse for the lower top line unless they're sizable?
John L. Stauch: Correct.
David L. Rose - Wedbush Securities Inc., Research Division: Okay. And within the guidance, I think this has been addressed before by others here, but you have the headwind from Sandy. It's not a meaningful headwind for you, but it's factored in your business. Are there other headwinds that we should think about in the fourth quarter that may not have been highlighted?
John L. Stauch: I think we feel like we learned a little bit about the Australian dollar in the quarter. And I think we've got that forecasted to not recover. And at some point, if a currency goes even much weaker, it should help its ability to export out. So right now, as of this date, there's nothing that we can factor in. But we're not weather forecasters either.
Operator: Your next question comes from Christopher Glynn from Oppenheimer.
Christopher Glynn - Oppenheimer & Co. Inc., Research Division: Randy, you mentioned some of the areas of opportunity where you have product line gaps. And with the Tyco integration kind of pulling forward quite a bit and going real well, I just wonder if you could update us on the timeline of your appetite for getting back to funding some bolt-ons in that area.
Randall J. Hogan: Well, we were active in the marketplace, looking at the different opportunities and we want to be as disciplined as we have always been, which is we start with what fits our strategy, so the product line gaps are, I'm not going to comment about specific ones, but the product line gaps are our key starting point for that. We got to make sure that we're disciplined in terms of the financials and that we continue to hew to the promises we made to shareholders in terms of our stock buyback program and the agencies and our overall capital plan. So I wouldn't predict as to when we might announce any kind of bolt-on.
Christopher Glynn - Oppenheimer & Co. Inc., Research Division: Okay, but it sounds like you're ready to go?
Randall J. Hogan: Yes, if the right thing came along.
Christopher Glynn - Oppenheimer & Co. Inc., Research Division: Okay. And then just looking at next year, I think we have $85 million cost benefits from the 2Q restructuring this year, maybe $60 million to $80 million incremental synergies. Is that drop-through completely independent of growth if that should remain elusive?
John L. Stauch: That should be completely dropped through, correct. I mean, obviously, we have to manage inflation and those types of things. But that's why we're showing that chart the way we're showing it is that run rate should be incremental even on flat growth.
Operator: Your next question comes from Brian Drab from William Blair.
Brian Drab - William Blair & Company L.L.C., Research Division: First question, just on the order outlook. If we look at Slide 6 and you're thinking about the fourth quarter and taking into account everything that we've talked about so far in this call with the fiscal year-end situation, can you give us kind of a sense for these 4 end market outlooks in terms of order growth? What's this going to look like in the fourth quarter? Will we be up in orders in each of these end markets?
Randall J. Hogan: I think I mentioned we don't expect mining to go up. Power, we're seeing activity in power, but that's been sliding sideways. I think, overall, we expect orders will be up from the third quarter.
John L. Stauch: That's correct. And I think industrial process and oil & gas is where we'd expect them to go up. And as Randy mentioned, mining's likely to be down and power is likely to be flattish. Now you ask us to split hairs on a $2.5 billion business. So it's not something we usually do, is provide prospective orders by vertical market. But right now, that's indicative of what markets we think will continue to expand.
Brian Drab - William Blair & Company L.L.C., Research Division: Okay, yes. I'm just trying to make sure I understand the pieces that get to the aggregate order growth because we're looking at -- I'm just trying to reconcile a few things that were said this morning. It looked like on what is Slide 8 that you're expecting the fourth quarter to be better in the Energy and Industrial verticals in terms of revenue growth and you're expecting Valves & Controls -- and that, obviously, has a lot of bearing on Valves & Controls, expecting Valves & Controls to be up 6% in the fourth quarter. And you've had those order headwinds lately but then you made the comment, John, about 2014 returning to an acceleration in organic revenue growth. So I'm just trying to -- that would require, it seems to me, a fourth quarter recovery in orders?
Randall J. Hogan: Yes. Just remember, Brian, the backlog page there just applies to Valves & Controls. Most of our Industrial is booked and shipped. It's not the -- it doesn't run really through a backlog number. That's where the Equipment Protection business is. That's where, frankly, a lot of Valves & Controls and Thermal is, too.
John L. Stauch: And I said in my comments, in 2012, in Energy and Thermal, there was a Voyageur project in which we anticipated in the beginning of the year having that Voyageur project continuing within '13. That project, as Randy mentioned, is canceled. So the last year-over-year headwind in Thermal Energy related to projects was in Q3. And that's a big piece of the turnaround as you look at Q4 and full year.
Brian Drab - William Blair & Company L.L.C., Research Division: Okay, great. And that's kind of a segue to my last question here. Yes, of course, we're aware that Voyageur was canceled. But we, of course, knew that coming into this period and it looks like the guidance for Technical Solutions was flat to down slightly. The legacy Pentair business did well. Thermal Controls, you saw some projects delayed or can you give any more granularity there in terms of was that several projects, one larger project...
John L. Stauch: There was some project, book-and-ship Industrial in Europe. Record backlogs and the shipment timing was delayed from Q3 into Q4.
Brian Drab - William Blair & Company L.L.C., Research Division: But you mentioned oil sands here for -- within Thermal Controls.
Randall J. Hogan: Voyageur was oil sands, right? Industrial oil sands has nothing to do with Europe.
Brian Drab - William Blair & Company L.L.C., Research Division: Okay. I just want to be clear then. When you say oil sands, you're talking only about the Voyageur project, nothing incremental to what we already knew going into the quarter?
John L. Stauch: That's correct, that's correct.
Brian Drab - William Blair & Company L.L.C., Research Division: Okay, that's helpful. And MRO in the oil sands was solid?
John L. Stauch: Yes.
Operator: Your next question comes from Garik Shmois from Longbow Research.
Garik S. Shmois - Longbow Research LLC: I have a question on mix. I called out some favorable mix benefit on the op income line, particularly in Water and Tech Solutions in the quarter. Just wondering, as you look in the 4Q guide, you've got very good incremental margin expansion. I recognize part of that is seasonality, part of that is continued productivity. But how much of a mix benefit do you continue to expect into the fourth quarter? Maybe how sustainable is that as you look out to 2014?
John L. Stauch: We think it's sustainable because what turned down substantially was a lower-margin Australian business, which is on the lower end of the margin within Water & Fluid. So our results in Q3 reflect that. And in Q4 and beyond, we don't have any recovery in that product line anticipated due to the economy there. In Thermal, as we mentioned, it was the impact of larger projects, which are still nicely profitable but nowhere near the drop-through of the pure product shipments. Again, not planning any large project activity in the near term as well.
Garik S. Shmois - Longbow Research LLC: Okay. And then just as a quick follow-up, can you remind us how much of the percent of sales Australia represents for you?
John L. Stauch: Australia, on a full year basis for 2012, was about $1 billion, just under $1 billion of total revenue within the overall Pentair. And in Q3, it represented just under $200 million. So we've -- we're down about $50 million, as I mentioned, year-over-year. So it kind of gives you the rate of change.
Operator: And your final question comes from Hamzah Mazari from Credit Suisse.
Hamzah Mazari - Crédit Suisse AG, Research Division: Just a question on the aftermarket business in Tyco valve. You spoke about an increased focus on service. Maybe if you could give us a sense of how that business is running? Is it up mid-single digit? What's the growth look like there? And then how much of that business is aftermarket now? Is it still around 35%, 40%?
Randall J. Hogan: Well, first, for everybody, it's no longer Tyco valves. It's Pentair Valves.
Hamzah Mazari - Crédit Suisse AG, Research Division: Sorry, Pentair Valves.
Randall J. Hogan: Anyhow, the parts and service business, which is a focus for us, a greater focus, and it was up between 5% and 7% pretty much across all verticals. We sort of look at that as service and parts MRO. So interestingly, on the service side, a lot of the services is done on other people's valves. We think that's a nice growth area with this keener focus on the service side. So I would expect it to continue at that kind of a range.
John L. Stauch: I think it has an effect in MRO and you'll hear this from others as well. I think when the refineries run full out as they did in the quarter, it does delay some of the MRO spending. But overall, you're right to think about 55-ish percent is the installed base for us and that continues to do nicely.
Randall J. Hogan: Yes, right.
Hamzah Mazari - Crédit Suisse AG, Research Division: Great. And just to follow up. On the Technical Solutions side of the business, it seems like margins there are close to peak. But in fact, it seems like mix is potentially negative to you right now. I know there's been some re-segmentation post the Tyco transaction. But could you talk about how you feel about margins going forward in that business? I know you've done a lot historically on the channel and operationally and on the cost side to get margins up in that business.
Randall J. Hogan: Well, mix was actually positive in the Technical Solutions segment because there was more product sales and less big projects, right? I mean, the big projects have lower margin, so that was a positive mix in the quarter. I never believe a margin should be -- is at peak. I mean, I think it's the fact that we booked -- it's over 20% this quarter proves that. I think other people in the past have said it's an 18 peak or is a 19 peak and now we're over 20. So I would say there is no peak.
John L. Stauch: And to follow on to Randy, I think we're still as optimistic. I mean, I believe and Randy has been -- has this experience, too, great businesses get even greater and they see more. And this our business that's been after Lean for the longest period of time. And we continue to think that the margins will expand from here.
Randall J. Hogan: All right. Thank you, all. And operator, if you could give the replay, please. Thank you, all, for your attention.
Operator: Thank you, everyone. As said, there will be a replay of this call and it will be available today, October 22, 2013, at 12:30 p.m. and will run until November 22, 2013. The numbers to call in are (800) 585-8367 and (855) 859-2056 or internationally at (404) 537-3406. At that time, please enter your conference code to enter. Thank you, everyone. This concludes today's conference call. You may now disconnect.